Operator: Greetings. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I will now like to turn conference over to Mr. Robert Hass, Amtech's CFO. Please go ahead.
Robert Hass: Thank you. Good afternoon and thank you for joining us for Amtech Systems' Fiscal 2016 Fourth Quarter and Year End Results Conference Call. On the call today are J.S. Whang, Amtech's Executive Chairman; Fokko Pentinga, our President and Chief Executive Officer; and myself, Robert Hass, Amtech's, Chief Financial Officer. After the close of trading today, Amtech released its financial results for the fourth quarter fiscal year 2016 ending September 30th. The earnings release will be posted on the company's website at amtechsystems.com. During today's call management will make forward-looking statements. All such forward-looking statements are based on information available to us as of this day and we assume obligation to update any such forward-looking statements. These statements are not guarantees of future performance and actual results could differ materially from current expectations. Among the important factors which could cause actual results to differ materially from those in the forward-looking statements are changes in technologies used by our customers and competitors, change in volatility and the demand for our product. The effect of changing worldwide political and economic conditions, including government funded solar initiatives and trade selections, the effect of overall market conditions, including the equity and credit markets and market acceptance risks, other risk factors are detailed in our Securities and Exchange Commission Filings, including our Form 10-K and Forms 10-Q. Now, I will turn the call over to J.S. Whang, our Executive Chairman, to begin the discussion. J.S?
J.S. Whang: Thank you, Robert. I'd like to welcome everyone and thank you for your interest in Amtech. We appreciate you joining us as we review our Q4 and fiscal 2016 financial results. Global interest in solar energy has grown tremendously over time, yet, even with the strong and continuously expanding interest in clean energy around the world, we have had to manage it through a several years where there was a big disparity between supply and demand, following a time over robust investment in capacity. During that time we did what was needed to best align our global organization with the market conditions, while continuing to invest in key R&D projects. As a result, we positioned the company well for what we knew will be an eventual upturn in the market, given the forward opportunities for the industry and our customer’s constant goal to lower the total cost of our solar, while increasing the efficiency of the solar service. Today, we are pleased to report that in this past year we have seen signs of a recovery in demand for new capacity expansions and next generation solar technology solutions. Our core customers are making important decisions regarding how best to advance their offerings, enhance their competitive position in a challenging pricing environment and meet the needs and expectations of the growing global solar marketplace and our technology solutions play a key role in advancing our customers agenda. At Amtech, we have continued to invest in being a market leader in pursuit of the best choice solution. The value of all the acquisitions we have made over time and our ongoing investment in R&D proved to be of high value for Amtech. We have a great organization and innovative technologies with our strong position in the marketplace we are looking forward to highly productive future and the opportunity to more fully leverage all the progress we have made. And now, I will turn the discussion over to our CEO, Fokko. Fokko?
Fokko Pentinga: Thank you, J.S. Welcome to everyone joining who is joining us today on the teleconference and webcast. Thank you for your interest in Amtech Systems. For fiscal 2016 we generated $138 million in orders, 26% increase over fiscal 2015, followed by a substantial 45% increase in orders from our semi group. Our solo group generated a healthy 24% increase in orders, while our polishing business was a bit lower. These overall positive results, despite market challenges, followed market environment early in the fiscal year 2016 indicated meaningful level of optimism, then signaled some over production fears and resulting lower factory utilization before again turning, we saw interest prevailed throughout the year as manufacturers looked for the best solutions. Although customers continue to be very selective as they add their capacity and invest in new technologies, we are pleased with the quoting activity and related bookings. The orders in the last four quarters validate the markets appetite for new technologies, the need to invest and importantly the interest in our advanced technology solution by both long-standing and new customers, market acceptance of our high throughput PECVD systems is more than meeting expectations, combinations of our next generation ALD and PECVD systems is now being installed at a top Chinese company and we believe we are well-positioned to benefit as demand for such key technologies grow. We are also pleased to report that the semi business performed well in the fourth quarter with both good volume and margins. We continue to execute our strategy of optimizing our semi and polishing segments to support our solar gross initiatives. On solar, markets have been infected by the cost associated with the introduction of our new industry-leading product, such as our PECVD and ALD systems. Additionally, sales and margins for our original diffusion products have been under pressure due to local competition. However, we expect to continue to focus diligently on improving our cash flow and profitability, while continuing to address for the future. We had a strong organization with great talent, good processes, financial strengths and desire to win. Our talented global team is excited about the future and we are well-positioned to continue to innovate, expand and deepen our relationship with the key customers around the globe. And now Robert will go over the fourth quarter of the fiscal year 2016 financial results. Robert?
Robert Hass: Thank you, Fokko. Before I begin, please note that our 10-K for our fiscal year ending September 30, 2016 is expected to be filed on December 1. I will now begin a review of our fourth quarter results. Net revenue for the fourth quarter of fiscal 2016 was $42.4 million, an increase of 27% compared to $33.3 million in the preceding quarter and an increase of 50% compared to $28 million in the fourth quarter of fiscal 2015. The sequential increase and the increase from the fourth quarter of fiscal 2015 are due to increased demand in our solar, semiconductor and polishing segments. Total customer orders in the fourth quarter of fiscal 2016 were 27 - I am sorry, were $27.7 million, of which a $11.8 million were sold. This compares to $30 million in the preceding quarter, of which $13.2 million were sold. In the fourth quarter of fiscal 2015 orders totaled $18.8 million, of which $5.3 million were sold. At September 30, 2016, our order backlog was $48.6 million, compared to a backlog of $63.8 million at June 30, 2016 and $34.6 million at the end of fiscal 2015. Backlog at September 30, 2016 includes $34 million in solar orders and deferred revenue compared to solar backlog of $45.3 million at June 30, 2016 and $22.9 million a year ago. Backlog includes deferred revenue and customer orders that are expected to ship within the next 12 months. Gross margin in the fourth quarter of fiscal 2016 was 29% compared to 29% in the previous quarter and 23% in the fourth quarter of fiscal 2015. Sequentially, the gross margins were higher in our semiconductor segment during the fourth quarter of fiscal 2016, primarily due to favorable product mix, which was offset by lower gross margins in our solar segment, primarily due to increased revenue deferrals. As of September 30, 2016, we had deferred revenue of $7 million, deferred cost of $2.3 million, with a net deferred profit of $4.7 million. The higher gross margin compared to a year ago is primarily due to higher gross margins achieved in our sole - I am sorry, achieved in our semiconductor segment due to favorable product mix. Selling, general and administrative SG&A expenses in the fourth quarter of fiscal 2016 were $10.3 million compared to $8.7 million in the preceding quarter and $9.1 million in the fourth quarter of fiscal 2015. The increase compared to the previous quarter is due to a provision for doubtful accounts receivable of $1.8 million, which was partially offset by lower selling expenses as a percentage of shipments and lower commissionable sales. The increase compared to a year ago is due to an increase in the provision for doubtful accounts, partially offset by lower legal fees and lower compensation expense. Research, development and engineering expense RD&E was $2 million in the fourth quarter of fiscal 2016 compared to $1.6 million in the preceding quarter and $3 million in the fourth quarter of fiscal 2015. The higher RD&E expense compared to the previous quarter is due to slightly higher spending and lower recognition of grant revenue. The lower RD&E expense compared to one year ago is due primarily to the deconsolidation of Kingstone at the end of fiscal 2015. Depreciation and amortization expense in the fourth quarter of fiscal 2016 was $700,000 and $700,000 in the preceding quarter and $900,000 in the fourth quarter of fiscal 2015. Included in the fourth quarter of fiscal 2016 results is $331,000 of stock option expense compared to $351,000 in the preceding quarter and $299,000 in the fiscal fourth quarter a year ago. Income tax expense in the fourth quarter of fiscal 2016 was $1.1 million, compared to less than $100,000 in the preceding quarter and $1.3 million in the fourth quarter of fiscal 2015. The increase in income tax expense in the current quarter is due primarily to an increase in income before income taxes in the United States and an increase in the valuation allowance. As of September 30, 2016, there was a valuation allowance on all deferred tax assets except for a $0.2 million deferred tax asset that we believe is more likely than not to be realized. This increase in the valuation allowance accounted for approximately $0.4 million of tax expense. Net loss for the fourth quarter of fiscal 2016 was $300,000 million, or $0.02 per share, compared to a net loss of $1.2 million or $0.09 per share in the preceding quarter and net income for the fourth quarter of fiscal 2015 of $1.3 million, or $0.10 per share. However, I should point out the net income in the fourth quarter of fiscal 2015 included a net gain of approximately $7.8 million from the partial disposition of our investment in Kingstone. Total revenue by geographic region for the fiscal fourth quarter was in the Americas at 20% of revenue, Asia Pacific was at 68% of revenue and Europe at 12%. We had $27.7 million of unrestricted cash and cash equivalents at September 30, 2016 compared to $28.3 million at June 30, 2016. The small decrease in cash is primarily due to cash used for capital expenditures and debt service payments. At September 30, 2016, we have had of approximately $45.7 million. Moving on to the outlook, we expect revenues for the quarter ending December 31, 2016 to be in the range of $25 million to $27 million. Gross margin for the quarter ending December 31 is expected to be in the mid-20% range. Operating results could be impacted by the timing of system shipments, the net impact of revenue deferral on those shipments, and recognition of revenue based on customer acceptances, all of which can have a significant effect on operating results. A significant portion of our revenues are denominated in euros. The revenue outlook provided in this press release is based on and assumed exchange rate between the United States dollar and the euro. A significant decrease in the value of the euro in relationship to the United States dollar could cause actual revenues to be lower than anticipated. This concludes our prepared remarks portion of our conference call. Operator, please open the call to questions.
Operator: Thank you, sir. [Operator Instructions] And our first questionnaire today is Jeff Osborne with Cowen and Company. Please go ahead, sir.
Jeff Osborne: Hey, good afternoon, guys. Couple questions from me, if you don't mind. Can you just touch on the strength in the quarter, its little bit higher than I think most people are looking for, you know, what that was attributable to Fokko and then likewise just the guidance for the December quarter, with the moving pieces are, were there any major project there were finished this quarter that kind of roll off in the December quarter?
Fokko Pentinga: So we did experience good shipments in the quarter and that's primarily due to improvement in the semiconductor segment.
Jeff Osborne: Can you just touch on then what the mix of solar versus semis were, I know that will be disclosed the 10-K, but given we have to wait a couple weeks for that, is that something you can disclose today?
Fokko Pentinga: So solar comprised $24 million of revenue for the quarter, does that help>
Jeff Osborne: That's helpful. And then you called out strength in the polishing side as well, but semis were the bulk of the strength?
Fokko Pentinga: Yes.
Jeff Osborne: And then can you just touch on what actually drove that on the semiconductor side? Is there legacy BTU product that did well, or I'm just trying to understand what the moving pieces were?
Fokko Pentinga: Yes, it was primarily the BTU segment of our semi product line.
Jeff Osborne: And is that on the PCB side or reflow, any end market application detail would be helpful?
Fokko Pentinga: Yes, that is mostly on the reflow and also the semi pack that was doing quite well. So BTU had really good really good quarter and - but also solar at 24 is a really nice quarter as well. So we're not complaining on that one, at quite a bit of the PECVDs in there and of course the PECVDs with all the automation on there is high ticket item. So that really helped in the getting a good quarter there as well.
Jeff Osborne: Got it. And then just Fokko as we look out into the December you know, pretty sharp sequential drop. I guess, what's the expectation there is the bulk of the drop coming from the solar piece, just as some fabs were built and you don't have the visibility in the near-term or just is there some softness in semis as well?
Fokko Pentinga: Well, you know the fourth quarter or the first quarter that is - our first quarter is always a little bit slower and see in the previous years that was the same and if you look at the shipments last quarter of 24 in solar, at the end of the year of course, a lot of shipments are being down, so than the first quarter is often little bit slower anyway. So there is no specific reason for that. It's just a cyclical thing, first quarters are always a little bit slow and also before shipments, before Chinese New Year weren’t always ideal also, you know, you are you missing a few weeks out of the quarter was the end of the year. So that's - it's a normal cyclical thing, nothing specific.
Jeff Osborne: Got it. That’s helpful. And then just if you don’t mind, if I have a few more, but some of your customers are reported in the past 48 hours and kind of highlighted margin pressure, is the challenging backdrop of pricing and solar, how are your discussions with customers going about weighing the need to drive toward the 20% efficient cell relative to you know, the more subdued pricing environment relative to may be expectations 6 to 12 months ago?
Fokko Pentinga: You know, pricing is always an issue and that's the difficult part in solar that we've been facing for a long, long time and can we easily reduce our prices, we constantly working and to get lower cost. But the real way to reduce the cost for the customer is the cost of ownership, and if we compare and let's say a PECVD like we do today in just a year ago people needed double amount of machines to do the same. So the only way was high quality product like we provide is to get higher throughputs and not increasing too much of the cost, so the cost of ownership needs to come down. And that's the way how we can make it, we will not be able to just reduce the prices as quick as we can increase our throughput and reducing our cost of ownership through that. So that is the main driver how we will be able and have been able so far to keep up with that lower price, the lower price for the cell and resulting of course in a lower price for the energy it's mostly because of getting higher throughput and of course, then you need less space, you need less facilities and less people to work on it and that's where the main advantage is where we can keep up with competition.
Jeff Osborne: Got it. And then maybe just a modeling question and one other, so on the modeling side obviously you had the doubtful accounts issue with SG&A, but how should we think about the OpEx trajectory in the upcoming fiscal year that you have in the budget, is it in that kind of mid eight range, you know, half eight, seven for SG&A and kind of flattish for R&D, or do you have any particular grant programs that might help the R&D? I am just trying to get a sense of what we should think about for spending and also on the tax side that's been pretty lumpy in the most recent fiscal year, do you have any kind of commentary about what we should be modeling from an absolute dollar basis of expected or anticipated income taxes?
Robert Hass: So there are several questions there, break that down, on the question regarding S G&A for the next few quarters. I have no problem with your estimate of roughly 8 million, $8 million, plus they maybe in S G&A per quarter, regarding RD&E, we expect those to be in this next quarter in a range of what we saw in June quarter. And as far as income tax, we don't expect to have recurring write off of any deferred tax assets, since we've already cleaned up that part of the balance sheet.
Jeff Osborne: Okay. Good to hear. And then last one Fokko for you, is just now that the fiscal year is starting, can you put in perspective on the solar side, obviously you entered the fiscal year with a big focus on new products relative to the diffusion furnace, just can you provide some perspective in rough numbers, you know would you say that that 60% of the shipments in solar for the year were for quote unquote new products like PECVD, ALD versus the classic diffusion? I am just trying to get a sense of how successful the solar piece in this transition that the company is undergoing has been, just given you typically don't provide a lot of detail on it, but given it’s because of the fiscal year I was hoping you could peel back the onion a little bit?
Fokko Pentinga: Yes, about this 2016 year of course, the majority of this year we did not have the PECVD, the high throughput version, that only started to ship in the last quarter, a little bit before one, but we will see that to be more than half of the shipments and going forward, because that now is really a benchmark for the rest is a very high, high throughput machines. So the new technology will be - 60% would be the majority of the shipments.
Jeff Osborne: Or maybe a better way of asking, of the $34 million in solar backlog more than half of that is the new products, is that a safe assumption?
Fokko Pentinga: Yes, it is.
Jeff Osborne: Perfect. Thanks so much guys.
Fokko Pentinga: Thank you.
Robert Hass: Thank you. Thanks for the questions, Jeff.
Operator: [Operator Instructions] There look to be no more questions. So this will conclude our question-and-answer session. I would now like to turn the conference back over to Robert Hass for any closing remarks.
Robert Hass: Thank you for your time today and for your interest in Amtech. This concludes our call for today.
Operator: The conference is now concluded. Thank you all for attending today's presentation. You may now disconnect your lines.